Christian Herrmann: Good morning, ladies and gentlemen. This is Christian Herrmann speaking. On behalf of Daimler Truck, I'd like to welcome you on both telephone and the Internet to our Q2 results global conference call. We're very happy to have with us today, Karin Radstrom, our CEO; and Eva Scherer, our CFO. Karin and Eva will begin with an introduction directly followed by our Q&A session. The respective presentation can be found on the Daimler Truck IR website. On our request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler Truck website. As always, I would like to remind you that this telephone conference is governed by the safe harbor wording you will find in our published results documents. Please note, our presentation contains forward-looking statements that reflect management's current views with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. With this, I would like to hand over to you, Karin.
Karin Radstrom: Thanks, Christian, and good morning, everyone, also from my side. Thanks for joining. Of course, we're here to deep dive Q2 and the numbers and the outlook. But before that, I wanted to give you a quick update on our big picture. As you know at Daimler Truck, it's our ambition to build the best truck and bus company in the world. And I think we got a lot done in the last couple of months to support that journey. We finalized the definitive agreement to integrate Mitsubishi Fuso and Hino in June to form a strong Japanese global company. And we plan to hold a 25% equity stake in this company and will continue to collaborate to share technology and investments. . Another highlight in July, we celebrated the opening of our global parts center in Halberstadt. In this new facility, we will be able to set global standards for availability of spare parts. And we are investing EUR 500 million in this global parts center which I think is a clear sign of our commitment to Germany, where we also plan to invest over EUR 2 billion in our production network until 2030. In June, we also launched Coretura, our new software joint venture with Volvo Group to develop software-defined vehicle platforms. This will allow Daimler Truck to build on that foundation and deliver distinctive vehicle applications to our customers. Highlights from the defense business, which is a growth area for us. We did secure a big contract with the Bundeswehr, the German Armed Forces. By May 2026 we'll deliver a mid-3-digit number of Mercedes-Benz Arocs logistics vehicles. And during the last months, we've had lots of interest in this business. We've also signed a letter of intent for local assembly of Mercedes-Benz Trucks in the Republic of Senegal, where we will deliver vehicles for defense, for the fire brigade and for the police. In Brazil, we launched our new extra-heavy Mercedes-Benz Axor, which has been a product gap that we had in the last 2 years. We see huge market potential for this truck, not just in Brazil but also across our export markets in Latin America. And the highlights from India where we reached an important milestone, we delivered our 200,000 BharatBenz vehicle. This is a brand that we established in 2012 which is tailored to the Indian commercial vehicle market and where we also see a lot of export potential. Now strategy is nice but it's all about execution. And I think here, we have kept the momentum very high. Going forward, what's ahead for the rest of the year is to operationalize our strategy which we presented just a few weeks back at our Capital Markets Day to become a simpler, faster and stronger company. And so there is a long list of things to do but of course, I really look forward to check marking the last box on achieving industry-leading margins. Now let's turn to the results for the second quarter. The key takeaway is that we delivered a strong performance in the second quarter. As you know, we're facing an economic environment that's quite volatile, mainly due to the international trade and tariff negotiations and their unclear effects. This creates uncertainty for our customers, especially in the North American market and makes it harder for them to take longer-term investment decisions. In these challenging conditions, we kept our profitability at prior year level with EUR 1.1 billion adjusted group EBIT and the 9.3% adjusted return on sales in our Industrial business. Our earnings per share were EUR 0.36 which does not reflect the strong operational since they are impacted by onetime adjusted items, this includes the provision for restructuring measures in Europe and the impairment of capitalized development costs related to the delayed transformation of ZEV technology in the U.S. Once again, Trucks North America was a strong contributor to our results, delivering 12.9% return on sales despite a 20% drop in unit sales. Daimler Buses also delivered a double-digit return on sales. Mercedes-Benz Trucks, Trucks Asia and Financial Services improved their profitability on adjusted levels compared to the same quarter last year. And Eva will take a deep dive with you in a minute. The takeaway message for me is that we have a strong first half which gives us a solid foundation for the full year results but we do expect more headwinds during the second half of the year. With that, let's take a closer look at the markets. In North America, the Class 8 market reached 135,000 units in the first half of 2025 which is a 7% decline year-over-year, mainly due to the increased uncertainty in the economy. The Mexican truck market was also weak following the transition to Euro VI emission standards at the start of the year and prebuy activities back in 2024. Our Class 8 market share was at 41.1%, underscoring our clear leadership position and showing that our vocational strategy continues to deliver good results. In Europe, the heavy-duty truck market declined by 15% to 149,000 units, our heavy-duty market share in Europe was 15.3%, which is an improvement. We were at 14.2% in the first quarter, so we are improving month-over-month. We remain focused on our profitability but we're still confident that we can continue to grow market share, especially as we continue to roll out our new products like the Actros L with improved fuel efficiency. Next, let's look at unit sales and order intake. At group level, both sales and orders declined by 5% compared to the same period last year. At Trucks North America, sales declined by 20% and orders for Q2 are down by more than 50%. This reflects the current market environment in North America where, as I mentioned, customers lack the certainty they need to make investment decisions. And this doesn't just affect Daimler Truck, it affects the entire industry, and we'll come back to this when we walk you through our outlook for the rest of the year. Despite these uncertainties, we are confident that the strength of our products will help us maintain our strong market position. We're continuing our successful vocational strategy and have further increased our unit sales in the heavy vocational segment. About order intake, very recently in July, we have seen better order intake and it remains to be seen whether or not this could be the start of a trend. At Mercedes-Benz Trucks, unit sales remained flat but orders grew significantly by more than 20%. In the EU30 regions, sales for Mercedes-Benz vehicles were up by 9% and orders increased by 30%. However, order intake momentum has slowed somewhat in quarter 2 after a very strong increase in the first quarter. The reason for this is that the general uncertainty around future tariffs and economic developments have spilled over somehow to Europe which makes some customers more cautious with their investments and even though activity is high, we also see that customers take longer to decide. At Trucks Asia, sales rose by 13% and orders increased by 2%. At Daimler Buses sales were up by 5% and orders increased by 35% and which gives us a very strong momentum in the bus business. Production slots are largely filled for 2025. Now, let's take a look at our ZEV volumes. For the first half of 2025, we sold nearly 2,000 battery electric trucks and buses, up from around 1,500 in the same period last year. In the city bus market, we sold more eCitaros than diesel Citaro in the past quarter for the first time. So this marks a bit of a shift that cities are then increasingly opting for 0 emission solutions. However, order intake for 0 vehicles declined from around 3,200 in 2024 to roughly 2,100 this year. And here, I want to say that our most important products like the eActros 600 continued to develop positively. For the first time in Q2, we are the market share leader in the heavy-duty electric truck segment in Europe. As you'll see in these figures, they once again reflect that the shift to zero emission not only depends on the right vehicles but also on achieving cost parity with diesel and building comprehensive charging infrastructure. This is still not moving fast enough, and a lot of work still needs to get done. With that, I'll hand over to Eva for a closer look at our financials.
Eva Scherer: Thank you, Karin, and good morning, everyone. Let's take a closer look at our financial performance for the second quarter. Please note that all figures presented include both continued and discontinued operations. The group delivered a strong result with an adjusted EBIT of EUR 1.1 billion remaining in line with the previous year despite lower unit sales and ongoing macroeconomic uncertainties. Looking at the performance by segment. Mercedes-Benz Trucks, Daimler Buses and Trucks Asia and Financial Services all made positive contributions to the overall result. Given tough year-over-year comparisons, Trucks North America was the only segment with a negative EBIT impact, primarily due to the economic uncertainty in the U.S., which led to reduced sales volumes. For the Industrial business, adjusted EBIT declined by 5% year-over-year, also totaling EUR 1.1 billion in the second quarter. In line with our commitment to moving at the speed of light when it comes to technology adoption, we recorded an impairment of EUR 218 million as an adjusted item. This reflects the noncash derecognition of previously capitalized development costs due to the delayed transformation of -- due to the delayed transformation pace of battery electric vehicles, particularly in the U.S. market. Related to provisions for restructuring measures under our Cost Down Europe program, we booked an adjusted item at Mercedes-Benz Trucks in the amount of EUR 339 million. In the M&A category, EUR 64 million were adjusted with the majority related to IT carve-out costs. Trucks North America delivered an adjusted EBIT of EUR 657 million and an adjusted return on sales of 12.9%, a strong result, particularly on tough comps compared to the second quarter of 2024. Unit sales in Q2 were down by 20% as customers remain cautious amid ongoing uncertainty. Additionally, the Mexican market has been significantly weaker in 2025, following the Euro VI pre-buy in 2024. . Key drivers behind the strong EBIT and return on sales were disciplined pricing as well as a continued favorable customer mix. Unfavorable tariff developments put upward pressure on material costs and a labor agreement that took effect in June last year, increased manufacturing costs year-over-year. . However, we were able to partially offset these impacts through our continued focus on operational efficiency initiatives. Our Western Star heavy vocational trucks also made a positive contribution, delivering significant margin improvements compared to previous years. Finally, we achieved notable reductions in SG&A expenses, largely driven by headcount reduction efforts initiated in Q1 as part of the segment's resilience program. Mercedes-Benz Trucks delivered improved results in the second quarter compared to the previous year, which included a EUR 120 million impairment from our Chinese joint venture. Adjusted EBIT amounted to EUR 283 million, resulting in an adjusted return on sales of 5.9%. The EMEA region continued its positive momentum also overall results were still impacted by the ramp-up challenges in production of new eActros 600 and Actros L models. Unit sales were broadly in line with Q2 last year but a favorable sales mix provided some uplift. Additionally, the aftersales business continued its positive trajectory. In Latin America, we gained market share while maintaining strong profitability and continuing to be accretive to the group. Trucks Asia posted an adjusted EBIT of EUR 64 million in Q2 with an adjusted return on sales of 5.4%, both KPIs improved year-over-year, highlighting the further improved financial resilience in a challenging market environment. The Japanese market remained subdued, declining by 7%, while Indonesia saw a significant 12% drop primarily due to uncertainties from governmental policies. Key tailwinds for Trucks Asia included higher sales volumes, sustained net pricing, lower quality-related costs and continued SG&A discipline. These factors more than offset headwinds from unfavorable foreign exchange rates and mix effects. Daimler Buses delivered a very strong second quarter, posting an adjusted EBIT of EUR 147 million and achieving an impressive adjusted return on sales of 10%, supported by generally improving market conditions. Daimler Buses maintained its market leadership across core regions, including EU30, Brazil, Mexico and Argentina. The positive development in Q2 was primarily driven by higher sales volumes, along with favorable effects from both sales mix and net pricing. Smaller negative impacts resulted from increased material costs due to new emission legislation in Mexico and manufacturing costs, mainly driven by high inflation in Turkey which were overcompensated by the devaluation of the Turkish lira. Let's turn to our Financial Services segment. Adjusted EBIT increased year-over-year from EUR 12 million to EUR 23 million. This improvement was driven by stronger margins which more than offset the impact of lower sales and higher cost of risk, mainly due to the ongoing freight recession in North America and negative currency effects. As a result, adjusted return on equity increased from 1.8% to 3.1% in the quarter. Now let's take a look at our cash performance in the second quarter. As expected, working capital effects weighed on cash conversion, primarily driven by the new product ramp-ups at Mercedes-Benz Trucks and prestocking at our new global parts distribution center in Halberstadt, Germany, this resulted in a total effect of minus EUR 460 million. Net investments in property, plant and equipment as well as intangible assets totaled minus EUR 297 million. These investments reflect our strategic focus on future growth and innovation, including initiatives such as the Coretura joint venture with Volvo Group. As a result, cash flow before interest and taxes for industrial business totaled EUR 344 million. After accounting for EUR 345 million in cash taxes, along with interest payments, pension contributions and other reconciling items, free cash flow for the industrial business came in EUR 20 million. On an adjusted basis, free cash flow stood at EUR 96 million. At the end of Q2, net industrial liquidity stood at EUR 5.9 billion, down from EUR 7.9 billion at the end of Q1 and EUR 7.2 billion at the end of Q2 2024. Over the past 12 months, the group has returned EUR 1.5 billion in dividends and EUR 1.1 billion through share buybacks. The current program will be completed today and will soon begin the next one. As you can see, we remain firmly committed to our strong shareholder return policy. With strong cash generation expected in the second half of the year, we are confident that net industrial liquidity will exceed our EUR 6 billion target by the end of the year. Let's take a look at what we expect for the rest of 2025, as always, our outlook is subject to further macroeconomic and geopolitical developments. The guidance is based on the assumption that we will be able to operate under the current USMCA framework, And it is subject to revision should there be changes in the tariff landscape or in the resulting macroeconomic conditions. As we mentioned during our Q1 disclosure, potential financial impacts regarding the way forward for our China business are not included. They are contingent on the outcome of ongoing discussions with our joint venture partner. Due to the continued uncertainty in North America, we've adjusted our market outlook for the heavy-duty segment, now expecting between 250,000 and 280,000 units. Our guidance for the EU30 heavy-duty market remains unchanged. Our segment level guidance KPIs for 2025 remain unchanged, except for Trucks North America. Alongside our updated market guidance, we've also lowered our full year unit sales expectations for North America. We've seen a pickup in order activity in July, assuming this positive trend continues, we now expect 135,000 to 155,000 units for Trucks North America. Because of lower unit sales, we now expect full year profitability to land between 10% and 12%. Our top priority remains serving our customers in the best way possible. With ongoing uncertainty around tariffs and the Section 232 investigation. In the first half of the year, our clear focus was on getting trucks to our customers. In quarter 3, we expect truck volumes in North America to drop by around 20% compared to the second quarter. Profitability is expected to come in below the lower end of our updated full year margin corridor. For all other segments, the full year 2025 guidance remains unchanged. For the third quarter, we expect group sales at Mercedes-Benz Trucks to increase by 15% to 20% compared to quarter 2. Despite ongoing challenges in Latin America, including inflation, higher interest rates and unfavorable exchange rates, profitability is expected to come in slightly above second quarter levels. For Trucks Asia, we expect Q3 group sales to be about the same as in quarter 2, with profitability anticipated to be around the midpoint of the full year guidance range. Daimler Buses is expected to deliver Q3 sales and profitability around the level of quarter 2. For Financial Services, we expect Q3 EBIT to be around the Q1 level. As a result of the new guidance for Trucks North America, our KPIs that both group and industrial business have been updated as follows: adjusted EBIT for the group is now expected at EUR 3.6 billion to EUR 4.1 billion. Unit sales are now projected in the range of 410,000 to 440,000 units. Revenue guidance for the Industrial business has been revised to a range of EUR 44 billion to EUR 47 billion. Adjusted ROS for the Industrial business is now expected between 7% and 9%. And finally, free cash flow is expected to land between EUR 1.5 billion and EUR 2 billion. As mentioned earlier, cash generation will be back-end loaded with stronger performance in particular expected in the fourth quarter, as we demonstrated last year, Daimler Truck has a track record of converting cash effectively towards the end of the year, following our usual seasonal patterns. These updates reflect our commitment to transparency and our focus on long-term value creation, even in a dynamic or uncertain environment. With that, we'll wrap up the presentation. Before we move to Q&A, I would like to take a moment to acknowledge that this is Christian Herrmann's final earnings call as Head of Investor Relations at Daimler Truck. Christian, thank you for your outstanding work and dedication. We look forward to continuing our collaboration with you in your new role as Head of Corporate Development. Thank you for your attention. We're happy to take your questions now.
Christian Herrmann: Thanks very much, Eva. Thank you, Karin. Ladies and gentlemen, you may ask your questions now. 2 practical points, as always, please ask your questions in English only. And as a matter of fairness, please limit the amount of questions to a real maximum of 2. Now before we start, the operator will explain the procedure.
Operator: [Operator Instructions] And the first question comes from Nicolai Kempf from Deutsche Bank.
Nicolai Kempf: It's Nicolai from Deutsche. Two, the first one, you have mentioned the bit of positive order trends in July in North America. That is obviously an encouraging sign. Is this driven by a slight market recovery? Or is this driven by kind of sales measures, so granting discounts? And then my second one, a lot of your truck peers have already reported and the comments we got on Europe, the potential recovery on Europe was a bit mixed, given that you're overexposed to Germany, would you say that for you, the recovery in Europe is a bit more broad based and you see that impact?
Karin Radstrom: Karin here. So on the first one on North America, it's -- we believe it's market driven and not a result of discounting. On the second one on Europe. Yes, Germany is still having another relatively weak year. So I would say we still don't really see the effects of this stimulants that have been announced for the economy. So my prediction is we will see more of that in 2026. But I would say Europe is like it's not horrible, but it's not great. So it's somehow somewhere in between.
Operator: Then the next question comes from Miguel Borrega from BNB Paribas Exane.
Miguel Nabeiro Ensinas Serra Borrega: The first one, allow me and I know you don't want to speculate but I'm sure you've been preparing for Section 232, if the U.S. indeed slaps say, a 15% tariff or whatever on Mexican imports on trucks, regardless of being USMCA compliant, how does that change your business model? And what are the 3 key alternative measures to soften the impact? I would imagine just raising prices is not ideal, of course. .
Karin Radstrom: Miguel, yes, so commenting on 232, as you say, it's a little bit hard to know what's going to happen with that one. But I have to say we're actively participating in the process. We don't think that trucks assembled in Mexico are a national threat to the U.S. On the positive side, we are preparing. So we have a strong footprint in the U.S., as you know. We have assembly both in the U.S. and Mexico. We can produce all our models either in Mexico or in the U.S., and we can work a lot with shift models. We can rebalance volume up and down. So -- of course, both actively participating and following the 232 discussions very closely and preparing ourselves for the different outcomes that might come. Do you want to add something, Eva here?
Eva Scherer: Yes. Just 1 comment on measures how we would counter a potential impact. I believe it's a mixture between, first, also then if you would shift volumes into the year, of course, also increasing efficiency in our U.S. plants further by, for example, increasing automation levels. And then, of course, it would be a combination of that and some pricing impacts.
Miguel Nabeiro Ensinas Serra Borrega: That's great. And then the second one on order intake of Mercedes Benz, up 24% year-on-year. I wonder how -- just a follow-up on that question, how Europe or Germany have done in the quarter? Because I would assume Brazil is down on a year-on-year basis, correct me if I'm wrong. So I wanted to get a sense of how Europe and Germany, order intake is doing? And with that, I know you've been cautiously optimistic, but are you getting more confident this could be -- this order intake in Europe and Germany could be sustained over the coming quarters or years?
Karin Radstrom: Yes, thanks. Actually, we don't see a trend down in Brazil. Actually, our order intake in Brazil continues very strong. As I mentioned, we reintroduced the Axor, which brings us back into extra heavy segment. So I think some of the positive order intake reflects that. So we're still pretty optimistic on Brazil and as I said, in Europe continues on sort of a okay-ish level. So that's the outlook that we have and just to give you a little bit more flavor on the order intake.
Miguel Nabeiro Ensinas Serra Borrega: Christian, all the best, and good luck on the role.
Operator: And the next question comes from Akshat Kacker from JPMorgan.
Akshat Kacker: Akshat from JPMorgan. A couple of questions, please. The first one, again, in North America. Could you just elaborate what kind of discussions are you having with your customers on the EPA regulation? And if you're already starting to have some discussions on the depreciation benefits that they might get within the One Big Beautiful Bill, interested in your discussions there, please? And the second one for Eva probably is the free cash flow guide. I've seen that you have taken down the numbers by around EUR 800 million on both ends of the range. Could you just give us a big picture view on the moving parts within that cash flow bridge? How much of the revision is earnings versus revised CapEx assumptions or working capital, please?
Karin Radstrom: Akshat, Karin here, I could start with the EPA question, and then I'd hand over to Eva for the other topics. So on the EPA side, there were some announcements this week related to greenhouse gas which seems that it will go away completely. For that, I would say we've already adopted our strategy, and we have anticipated a slower ramp on zero emission trucks, when it comes to NOx, we have not yet the information on how that -- what will happen to NOx. We see it as more and more unlikely that there will be a prebuy at least in 2025. if it would come, it would rather go into 2026. But I believe it will take some more weeks to get certainty on that. We have not made our forecast dependent on anything in 2025. So we are not counting on it, and we are obviously also there preparing for both or it could be multiple scenarios. It could be the 35-millimeter -- 35, that was announced. It could be 35 with modifications. It could be staying with the 200, which is the regulation today. It could be something anywhere in between or it could even be removing the NOx regulation altogether. But I think everyone has invested to be prepared already for the 35. So the technology is ready. And if it would be implemented, we're ready to go. Now I would hand over to Eva.
Eva Scherer: Yes. Thank you, Akshat, for your questions. So let's do the One Big Beautiful Bill first. So first of all, when we look at the final bill, we are pleased that the intended Section 899 has been removed or is not part of the bill anymore because that could have triggered withholding taxes on certain payments from the U.S. to Germany, namely dividends. We also welcome that the One Big Beautiful Bill includes some provisions like full expensing of R&D costs and 100% bonus depreciation which are positive for us as they allow us higher tax deductions and thus lower tax cash payments in the first year. Obviously, it's a timing effect. But in the next couple of years, we do expect positive cash impact and tax benefit from the One Big Beautiful Bill in a mid-triple-digit million amount for the next couple of years. And on your question regarding free cash flow. Looking at the previous guidance to this guidance, the change is really only earnings driven in North America. There is no change in our assumptions for the cash conversion rate. But when we look now at the first half to the second half, what really is the biggest change that is driving a much stronger cash conversion is the inventory reduction in Europe. As I mentioned before, we have high impacts there, from the ramp-up challenges with the Actros L and the eActros 600 production and then also the buildup of inventories in our new parts center in Halberstadt in Germany.
Operator: And the next question comes from Klas Bergelind from Citi.
Klas Henrik Bergelind: I'm Klas at Citi. So my first one is on the margin into the third quarter in North America. I think, Eva, you said unit sales for North America down 20% quarter-on-quarter, margin below the low end of the year, so that's below 10%. I guess this is a combination of incremental production cuts, less favorable mix and then some impact from tariffs on the Europe to U.S. flows. Could you comment here on the moving parts a bit more? On the -- first, on the tariff impact, I think you said a low triple-digit number for the year before on an annual basis, how much of that is incremental here into the second half versus the first? And then how should we think about the incremental savings from the capacity adjustments that you're now pushing through in North America .
Eva Scherer: Klas, thank you for your question. So first of all, margin in North America, as you have rightfully said. So we expect it to be about 20% down in unit sales in quarter 3 with a profitability below 10%. So on tariffs, as I said before, that it will be a low triple-digit million range for the year. And this is more or less spread equally between quarter 3 and quarter 4. So that's what you can assume there. And production cuts, yes, we have announced also capacity reductions of about 2,000 headcounts in our plants in the U.S. and Mexico over the last few weeks. And of course, we have reduced our production program as a basis also now for our guidance reduction. And this will also then lead, of course, to the respective effects and also a bit less efficiency once the volume is at a very low level, which we expect for the second half of the year, so that you will see also. And then we are very disciplined on pricing in North America. We do still expect a net positive pricing effect for the year but you can also expect that in the second half of the year, I think will be quite a bit less positive than in the first half of the year. So that's also impacting margins in the second half in North America.
Klas Henrik Bergelind: Got it. My second one is coming back to orders into July. If unit sales is down 20% quarter-on-quarter, 1/3 over second, then you need to do 26,000 unit sales in the fourth quarter to meet the low end of the guide and you need to make 36,000 at the midpoint of the guide in the fourth quarter. If you look at orders here into July, and I appreciate that this is tricky. But if you would adjust for seasonality, take into account the fleet season typically starts later in the quarter in September, are we on track here from what you can see here to get back to perhaps the 25,000 to 30,000 range of orders in the third quarter, given that you have that sort of lead time of about 2, 3 months to ship that in the fourth. Sorry, a lot of numbers, but I hope that you got what I meant.
Eva Scherer: Yes, Klas, very good question, obviously, given the situation. So we said also when we had our Capital Markets Day that every week counts when it comes to orders. And the positive thing is that orders did pick up in July compared to June. And so expecting that this -- or hoping and assuming that this momentum continues, is obviously the base for our full year guidance. In quarter 3, of course, our production program, the lowered production program now is largely filled. But of course, if orders would now pick up further, then that would help us in quarter 4. And this will then be the defining factor as to where in the guidance range that we set for North America, we would actually end up. So yes, you're right, in September, usually, that's when we see an uplift in orders when we look at the last couple of years, but we also know that this is a very special year right now and a very special situation. So we're still a bit cautious, and we're monitoring it week by week, and we need to see whether the trend continues.
Operator: And the next question comes from Shaqeal Kirunda from Morgan Stanley.
Shaqeal A. Kirunda: Shaqeal from Morgan Stanley. So from what I understand, the North America market outlook is on a retail basis, your revenues are determined by wholesale. So how much lower than 265,000 do you see wholesales in the market? In other words, how much attention should we pay to inventory levels.
Eva Scherer: So as you rightfully said, our market guidance is obviously based on retail sales. And also, please note that our market guidance is only Class 8 in North America. So no medium duty. And what we're looking at is we're seeing that our share of market for heavy-duty currently remains stable around 40% to 41%. As our dealer inventory for Class 8 is about proportionate to the market but we're also seeing decreasing market share in the medium-duty segment. There's also more pricing pressure going on there. And we do expect dealer inventory to reduce from current levels. And that results then in higher retail sales, so market sales than group sales. And therefore, also the market decrease is less than the industry group sales decrease.
Shaqeal A. Kirunda: And then 1 more. So when you speak to your large fleet customers in the U.S., I imagine the most uncertainty is caused by the Mexico and Canada tariffs rather than Europe, Japan and rest of world, is that also your sense? And doesn't that imply demand weakness could continue for the next few months?
Karin Radstrom: Yes. I think our customers are probably mostly concerned with what happens with the American economy because that drives the need for transport or not. So it's not actually that they are looking at the 1 or other tariffs, it's rather that when there is this continued uncertainty, it's difficult for them, more difficult than normal to predict how freight volumes will develop, and therefore, how to gear their investments. So I would actually say they look more generally on the economy, what's happening to the interest rates, inflation, industrial production, consumption rather than looking at 1 particular tariff from 1 particular country.
Operator: Then the next question comes from Daniela from GS.
Daniela C. R. de Carvalho e Costa: I have 2 questions as well. I'll ask them one at a time. But just to go back to, you mentioned the order pickup in July. So far, you've done about 7% or high single-digit North America cuts in terms of staff, which I guess would equate to production. Do you plan more cuts? Or these order pickup sort of and the savings there are yet to come from whatever ready it is what you get you to the margin the end of the year, I guess, in Q4, given you already comment on Q3.
Eva Scherer: Daniela, thanks for your question. So when we look at the capacity adjustments that we've also announced beginning of July for the U.S. and Mexico. This is based on the current production program, that we have now with the reduced guidance. So if that all holds true, then we also don't need to make further adjustments but obviously, to manage the situation very closely. And the all momentum that we've now seen in July needs to continue.
Daniela C. R. de Carvalho e Costa: The growth rate sort of sequentially needs to continue. Is that what you mean or just the level of July in absolute?
Eva Scherer: The July level needs to generally continue. And then, of course, we would also appreciate it if it increased more because that would then also position us at a higher level in our margin range.
Daniela C. R. de Carvalho e Costa: And then second question is just like mechanically in percentage, you're reducing basically the revenues more than you're reducing the units. Is that just pure North American mix? Or what are you seeing across regions in terms of pricing that you bake into those assumptions? .
Eva Scherer: This is North America, Daniela, and it's because it's a higher reduction of high ASP vehicles, and there's also foreign exchange impacts considered.
Daniela C. R. de Carvalho e Costa: And pricing in general? .
Eva Scherer: Pricing, in general, to a certain degree. I mean, I said when I answered the question from Klas that, obviously, the net pricing, we assume that to be positive for the full year, but it will be weaker in the second half than in the first half.
Operator: And the next question comes from Alex Jones from Bank of America.
Alexander Jones: Two questions, if I can. First, just to follow up on this July comment again. Are you able to help us with any sort of magnitude on that or even qualitatively, for example, was July better than May? Because I appreciate that the June base that you're comparing it to so far was particularly weak? And then the second question on Mercedes-Benz, I think you had a weaker quarter on volumes than you originally expected. Can you just remind us of the reasons for that and your confidence on catching those up in the second half of the year?
Eva Scherer: Thank you, Alex. For the first one regarding the monthly development in quarter 3. What we can say is April was obviously very low. You can see that also from ACT,order report, then May was a bit other than that and then June was really, really bad again and July was better. So you can say May, July more going into the same direction, and then April and June on a very low level, that distinguishes the month, the last 4 months.
Karin Radstrom: I'll take, the question on Mercedes. So yes, we had originally anticipated higher volumes for Q2. We have had some challenges ramping up new products. We introduced the eActros 600 end of the year. We introduced the Actros L with the new ProCabin in the beginning of the year. So yes, we have a little bit more units on stock waiting for parts than we would have anticipated. It's quite common when you ramp up new products with a lot of new suppliers and new ways to assemble, I do think it will still carry over somewhat into Q3, but that we will be fully caught up before the end of the year. .
Operator: Then the next question comes from Hemal Bhundia from UBS.
Hemal Bhundia: All the best in new role, Christian. My first question is on tariff-driven pricing or surcharges. How has this been flowing during -- through the quarter and is this now largely reflected in the top line going forward?
Eva Scherer: Hemal, thanks for your question. So yes, we are working with a certain level of tariff surcharges. So we are taking a portion of the tariff impacts and we're passing on a portion of it. And of course, it also always depends on the demand situation and how we handle that exactly also based on particular fleet deals. What we can do with that? The tariff impact didn't hit us so much yet in the second quarter, but they will come into full effect in the second half of the year.
Hemal Bhundia: And apologies if you've already mentioned it earlier, I might have missed it, but could you provide an indication where on the new North America margin guidance you expect for the full year?
Eva Scherer: Obviously, it's a margin range and depending on where we end up. And actually, the most decisive factor on where we end up within that range is the volumes. So that's a bit different depending on which months I now use to extrapolate the volumes for the second half. So yes, assuming the midpoint for right now is not the worst thing. Thank you.
Christian Herrmann: So this was the last question. Ladies and gentlemen, thank you very much for the questions today. And in all the calls we had together. Thank you, Karin and Eva for answering and taking the time, as always. After a short break, we will start with the media Q&A at 9 a.m. Now as always, IR remain at your disposal to answer any further questions you might have. We are looking forward to staying in contact with you. Have a great day and as always, stay healthy. Take care. Thank you, and goodbye. [Break]
Presentation:
Jörg Howe: Good morning, everyone, and welcome to this conference call on the second quarter results and first half year of 2025. I would like to welcome our CEO, Karin Radstrom, our CFO, Eva Scherer. Yesterday evening, we already published our press release and all relevant documents. We have it on our website as well. I assume that most of you already have followed today's presentation by Karin and Eva and the analyst call prior to this media Q&A. Let me just mention a housekeeping note. This call is conducted in English, so please be so kind to ask your questions in English as well. And the operator will now explain the procedure for registering your questions. Go ahead.
Operator: [Operator Instructions]
Jörg Howe: Ilona Wissenbach, is first one to ask, Ilona is from Reuters. Ilona Wissenbach I would like to know after all the debates and noise we heard around the job cut number of 5,000 in Germany and the discussion with the Works Council, how did all this peter out now? I mean, are you on the same page again? The Works Council says he doesn't accept the number because part of it can be saved in Germany by doing jobs more efficiently. So perhaps it would be good to have your perspective on the outcome of this quarter. And then you have in the U.S. announced 2,000 job cuts. I would be interested how is the reaction of the workforce on the labor side there? Is there also some trouble and debate? I mean it was a bit surprisingly only a week after Mr. O'leary said at the CMD, there will be no job cuts for the time being.
Karin Radstrom: Thanks, Ilona. Maybe I'll start actually with the second question. So he, as far as I know, did not say that in the Capital Market Day. I think we are -- have a little bit different setup in the U.S. As you know, the labor laws are quite different. So to make big changes according to the demand in the market is sometimes a little bit less challenging. So we did announce a 2,000 headcount cut. It concerns our factories in Mexico and in the U.S., and it's around -- it's a mix of white and blue collar. With regards on your first question, maybe I roll back a little bit and start with something we also talked about in the Capital Market Day, which is why I decided to be the CEO of this company, which is that I want to build the best truck and bus company in the world. And I wouldn't have stepped into this role if I didn't believe we will make that happen. Now looking at where we were when I took over and doing a lot of benchmarking, obviously, with our competitors, it was quite clear that we have a cost structure which is not competitive. And that's also why we decided as part of our strategy, but only one part of the strategy to start the so-called Cost Down Europe. This was announced in January, and we then went into negotiation with the Works Council which was obviously very tough but also very fair. And we reached agreements, I think it was towards the end of April. So we have the mechanisms and the measures on how to reduce cost and headcount. And I have to say both sides are fully committed to these agreements, and we will and can achieve the more than EUR 1 billion cost reduction by '30. But as I'm also saying all along, to get that kind of cost saving is not possible without a significant reduction in the workforce. So in the agreements that we made with the Works Council, we did not explicitly agree and write down a number when it comes to headcount. We were fully focused on the measures and the mechanisms. However, when I add up all the measures, I do think this will result in a headcount reduction of approximately 5,000. Of course, we will always look at make or buy decisions. That's also part of the agreement, and we will do whatever is best for the company. And there, honestly, I think we have very similar targets between me and Michael Brecht and the Board of Management and the rest of the Works Council is we want to build a strong company which is competitive not only in 2 years from now but which is something we can be proud of 50 years from now and which is also here 100 years from now. So we will manage this in a responsible way. We've had lots of good discussions. And I think we are all ready to move forward and to make this happen and to build a stronger company.
Jörg Howe: Okay. Next question comes from Alexander Jungert, Mannheimer Morgen. Alexander Jungert The first one is you have just signed [Foreign Language] in Germany. Why is this an important step for you? And what does it mean for locations like Mannheim? And second question, you mentioned the orders by the Bundeswehr, how much do you think do you want to expand the defense business?
Karin Radstrom: Yes. So the [Foreign Language] was signed yesterday, and I saw that it was also announced. This has been part of our negotiation and part of the Cost Down Europe agreements with the Works Council. Maybe something positive to point out which I also mentioned in my speech earlier today is all these agreements that we've made is in no way a sign that we are not committed to Germany. We have also communicated that we do see the strategic importance of all our sites in Germany. And as I mentioned in my speech, we are investing in our production sites until 2030, around EUR 2 billion which I think is probably more -- one of the highest investments of German companies into Germany. Besides [Audio Gap] announced a few weeks ago, we have invested over EUR 500 million into our new global parts center in Halberstadt, which will also create around 650 jobs. With regards to the Bundeswehr, what was the question exactly? Oh Defense, sorry, Alexander. Yes. So I mean, I mentioned the Bundeswehr. It was really a breakthrough order for us. We had not historically been so successful with the Bundeswehr but we have invested a lot, both in our capacities to run these tender type businesses but of course, also into our product portfolio. So it was a little bit of a sign that we have been doing the right things in the last couple of years. And we did announce at the Capital Market Day that we see a potential to grow our defense business to around EUR 1 billion by 2030 which would be around a doubling of where it would be today.
Jörg Howe: Okay. Next question is from Marco Engemann, dpa-AFX. Marco Engemann Two, if I may. The first one would be around the capacity reduction in North America as well. How much in savings can this yield in absolute terms? And my second question, you mentioned an uptick in orders in North America in July. And did I get that right that the new guidance is dependent on a further normalization or revitalization of those orders? And what are the risks in the order phasing in North America for the guidance?
Eva Scherer: Thank you, Marco, for your question. I'll do the one on the capacity adjustments in the U.S. first. So you can't really talk about savings and a positive P&L impact there. You can talk about the avoidance of negative effects because obviously, due to the reduction of the guidance, we had to adjust our production program in North America. And for that, we have to reduce capacities in order to counterbalance under-absorption effects. So that's the reason behind this and how it affects our P&L. And then on the orders trend in North America, yes, I explained that we did see an improvement in July, and we do have the assumption considered in our guidance that this trend continues. And yes, that is currently what we are seeing. But of course, having seen that also we had an improvement in May versus April and then a reduction again in June, it is still a very volatile environment. And that's why we said it's a bit too early to call it a trend, and we will keep on monitoring it closely. Jörg Howe So currently, there are no further questions. [Operator Instructions] If you have any further questions, maybe half an hour or so, please do not hesitate to contact the Daimler Truck Communications team. We are at your disposal. I wish you all a very good day and until next time, see you. Bye-bye.